Operator: Good morning, ladies and gentlemen. Thank you for standing by. I'd like to welcome everyone to the Canaccord Genuity Group, Inc. Fiscal 2023 Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions]. As a reminder, this conference call is being broadcast live online and recorded. I would now like to turn the conference call over to Mr. Dan Daviau, President and CEO. Please go ahead, Mr. Daviau.
Dan Daviau: Thank you, operator, and thanks to everyone for joining us today's call. As always, I am joined by Don MacFayden, our Chief Financial Officer. Today's remarks are complementary to our earnings release, MD&A, and supplementary financials. Copies of which have been made available for download on SEDAR and on the Investor Relations section of our website at cgs.com. Within our update, certain reported information has been adjusted to exclude significant items in order to provide for a transparent and comparative view of our operating performance. These adjusted items are non-IFRS measures. Please refer to our notice regarding forward-looking statements and the description of non-IFRS financial measures that appear in our investor presentation and also in our MD&A. And with that, let's discuss our third fiscal quarter results. The environment in the three month period continued to reflect the impact of persistent inflation, continued tightening with central banks, and significant levels of uncertainty. Amidst these headwins, our business performed as expected with contributions from global wealth management and M&A advisory continued to offset the ongoing delays in capital raising activity.  Adjusted firm-wide revenue for the three month period was $382 million in line with the previous fiscal quarter, but down 31% compared to the same period a year ago. When measured on a year-to-date basis, revenue for the first nine months of the fiscal year amounted to $1.1 billion, which compares favorably to the full-year revenue in pre-pandemic years. I will also note that fluctuations in foreign currency contributed to certain changes in the third quarter revenue and expense items for our international operations as reported in Canadian dollars, as well as the value of client assets in our UK and Australian wealth businesses. Excluding significant items, we earned pre-tax net income of $31 million for the three-month period and $110 million fiscal year-to-date. This translated to diluted earnings per common share of $0.16 for the quarter and $0.53 fiscal year-to-date. We recorded a goodwill impairment charge of $103 million during the quarter in connection with our Canadian capital markets business. To help you understand this process, goodwill is required to be tested for impairment at least annually or when there are indicators of impairment. The confluence of macroeconomic and cyclical factors that have dampened activity levels in our core focus sectors for most of the fiscal year have weighted on earnings in this business for three consecutive quarters as seen by losses recorded in each quarter of this year. As past performance would substantiate, we continue to see material value in this operations. However, accounting standards require a fair value test albeit at a time that we perceive to be at the bottom of a cycle. This goodwill charge is a non-cash accounting entry that does not reflect any current or future cash outlay for the company. Turning to expenses. Adjusted firm-wide expenses declined by 21% and 20% respectively when compared to the three and nine-month periods of last fiscal year. In difficult markets like this, we are carefully monitoring our cost, while taking great care to ensure that we are not impairing our culture or compromising the client experience. Our compensation expense for the three-month period decreased by 30% or $101 million compared to the third quarter of last year, partly reflecting the decrease in incentive-based revenue, most notably in our Canadian operations. Reflecting the softer revenue environment and the impact of a higher share price on our stock-based compensation, our third quarter compensation ratio was elevated to 63%. On an adjusted basis, fiscal year-to-date compensation expenses as a percentage of revenue were 61%. Absent particularly bad performance in any of our regions, we expect to be able to manage within our historical comp ratios for the full fiscal year, except for charges related to stock-based compensation, which are subject to mark-to-market fluctuations beyond our control. Third quarter adjusted non-compensation expenses as a percentage of revenue increased by 11.4 percentage points when compared to the same period a year ago. This increase reflects the impact of higher G&A expenses attributed to promotion, travel and conferences in addition to increased communication and technology expenses. Interest expense also increased in connection with bank loans outstanding for our wealth management acquisitions in the UK and Crown Dependencies. Excluding significant items, our effective tax rate was substantially lower in the three-month period at 10%. This decline is due to deferred tax recoveries recorded in higher tax jurisdictions partly offset by the re-measurement of deferred tax assets related to share-based payment plans and which reflect changes in the market value of unvested stock-based awards when compared to the previous quarter. Our business continues to be well capitalized and our Board of Directors has approved a quarterly common share dividend of $0.085. Turning to the performance of our operating businesses. I'll start with capital markets. Third quarter transaction volumes continue to be impacted by the challenging backdrop consistent with industry trends. While our advisory activity outpaced the broader market in the first half of our fiscal year, M&A completions during our third quarter were down from the yearly and quarterly comparison periods. Our combined global capital markets business earned revenue of $197 million for the three-month period, a decrease of 46% when compared to the same period a year ago. On a consolidated basis, revenue from capital raising activities was down 70% year-over-year, but increased 6% sequentially, which reflects quarter-over-quarter increases from our Australian and U.S. businesses. Our Australian capital markets business experienced the most notable increase in capital raising activity with a sequential increase of 42% in investment banking revenues to $27 million. Investment banking revenue in our Canadian capital markets business was down 90% year-over-year and 49% sequentially. Looking at our core sector contributions, the metals and mining sector continued to be the most active, largely driven by our Australian and UK businesses. We also had increased contribution from the energy sector primarily in Canada and the UK. Our sales, trading and specialty desks remain steady. Principal trading revenue increased 4% year-over-year and 30% sequentially. The sequential increase was primarily driven by our U.S. business, which contributed $31 million or 88% of our trading revenue for the three-month period. While M&A activity in the three-month period remained comfortably above fiscal 2021 levels, advisory revenue declined by 51% when compared to the record set in the same period a year ago. The technology and consumer sectors were the most active in the segment reflecting our investments in expanding our U.S. and European capabilities in these sectors and benefiting from increased collaboration between these teams. Our wealth management business continued to perform well despite the lower transactional revenues in our Canadian and Australian businesses. On a consolidated basis, this division contributed adjusted pre-tax net income of $36 million for the three-month period, bringing the fiscal year-to-date contribution to $89 million. All of our segmented EPS came from our combined wealth businesses. Firm-wide assets were $94.4 billion at the end of the three-month period, down 7% from their peak of $102 billion in the same period a year ago, but up 6.5% sequentially, reflecting improving market values. In our UK business, revenue, net income, and margins all improved in the quarter. The business contributed revenue of $86 million, which is 11% higher than the average of the last seven fiscal quarters. Adjusted pre-tax net income in this business was $23 million a year-over-year increase of 3% and an increase of 27% sequentially. Client assets amounted to $54 billion, down 8% from the record set in the same period last year, but up 9% compared to the second quarter. Our Canadian business contributed revenue of $77 million for the three-month period, a year-over-year decrease of 6% and an increase of 5% sequentially. The decline in revenue from transactional activity was largely offset by higher interest revenue, which increased 161% year-over-year to $13 million. The adjusted pre-tax net income contribution from this business was $12 million, its strongest quarterly result in the current fiscal year. Last week we announced we've entered into an agreement to acquire Mercer's Canadian private wealth business. Subject to customary closing conditions, we expect to complete this transaction in the next three months and is expected to add approximately $1.5 billion to our total client assets. We look forward to welcoming this team and supporting the continued success of these advisors and their clients. And finally, our Australian wealth business returned to profitability this quarter with a modest increase in revenue reflecting contributions from recently recruited investment advisors. Client assets in this business were $5 billion, up 8% compared to the second quarter. Since the start of calendar 2023, there's been a modest increase in the likelihood of a soft landing, which gives us cautious optimism in our outlook. Having said that, until there's more certainty with respect to the outlook for inflation, interest rates and the broader economy, we can expect continued instability in the capital markets. Our core business segments remain well-positioned to benefit from an upturn and investor sentiment and increased risk tolerance. Capital raising activity remains low, but we're beginning to see some recovery of activity, particularly in the resource sectors where we've established leadership over many years. A solid pipeline of M&A engagements should support stronger performance in the quarter, provided markets are supportive for completions. Our Wealth Management businesses are performing in line with expectations, but assets remain vulnerable to bouts of market volatility. In closing, I would like to say thank you all for joining us today. Securities law considerations related to the recently announced proposed takeover bid preclude us from hosting a Q&A session on today's call. I appreciate your understanding. And thank you for your continued support. Operator, you may now close the lines.
End of Q&A: Thank you, sir. Ladies and gentlemen, this does conclude your conference call for this morning. We would like to thank you all for participating and you may now disconnect your lines.